Stanislas De Gramont: Good morning, everyone. Welcome to this Groupe SEB 2025 Full Year Results Presentation. I am Stanislas de Gramont, Chief Executive Officer of the group, and I will be doing this presentation together with Olivier Casanova, our Chief Financial Officer. Right. We will cover the following points in this presentation. And of course, after these presentations, there will be a question-and-answer session. The points of the agenda will be the key elements of 2025 regarding sales, our results, our financial structures, what have been our ESG achievements. We will talk about the growth relaunch Rebound plan initiative that we've announced today to our employees and shareholders, and we will conclude. Then we'll take, of course, your questions together with Olivier. As a way of introduction, I think it's fair to say that 2025 performance is closing on a better note. We are in line with the targets that we revised in October. We've confirmed and launched the Rebound plan that we again announced in October. And if I step back and look at the overall year, we have a very slight organic sales growth, 0.3%. We are in a complex environment, yet our small domestic equipment markets remain resilient. Our results are down in 2025. Yes, we have good sales growth in floor care, in linen care, in cookware, and this is supported by good product innovation. We have a very dynamic growth in e-commerce, especially via our direct-to-consumer sales. We've seen, as you know, and we've amply talked about it through the second and third quarter of the year, significant cyclical headwinds on currencies, on Americas, on Professional, and that impacts around about EUR 120 million in profit, operating profit through 2025. And we also have an acceleration in the transformation of the environment in terms of go-to-market, in terms of digital activation, and this is what triggers our launch of the Rebound plan that is designed to bring the group back to a profitable growth trajectory. Now if we move into numbers, 2025 December, we have sales of EUR 8.169 billion, up 0.3% like-for-like. Our ORfA is at EUR 601 million, down EUR 201 million versus last year. That translates into an operating margin of 7.4%. As a result of that, the net profit group share is EUR 245 million. That compares to EUR 232 million, but you will remember that last year's net profit was impacted by the Competition Authority fine of EUR 190 million. We end the year with a net financial debt at EUR 2.34 billion. That is EUR 2.152 billion, excluding this Competition Authority fine, and that's EUR 226 million versus the end of 2024. And the Board is proposing to the general assembly a dividend of EUR 2.8 per share, stable versus 2024. This will be approved and voted in the AGM of May 12, 2026. Now if we go into the analysis of the year, starting with the sales. As I said, we have a slight organic sales growth in 2025, 0.3%. To note that we still have a pretty substantial currency effect on our sales, 2.5% of net sales. It's not extraordinary, but it's pretty steady, and we expect to have a comparable one in 2026. The scope was up -- was contributing to 1 percentage points with the acquisition of La Brigade de Buyer and some phasing into the integration of Sofilac, leading to net sales of EUR 8.169 billion. If we break it down by activities, we see that the Professional business reports EUR 995 million on sales, up 2.1% in reported, minus 6%, minus 5.9% like-for-like, with a fourth quarter better, fourth quarter at 6.7% growth, flat like-for-like. Whilst on the Consumer division, we have an overall sales growth of minus 1.6% reported, but plus 1.1% like-for-like with a fourth quarter essentially similar at 1% like-for-like growth. Now if we look at the Consumer business and if we look at the overall business, we have, in fact, 2 blocks. We have on the left side, EMEA and Asia, which are around about 60%, 65% of the group sales, which have grown, respectively, 2% and 2.7%. In fact, EMEA without the loyalty programs grew 2.8%. So 2/3 of the business has grown by 2.8%, 2.7%. On the other side, we had the Americas that have declined by 4.9% with U.S. at minus 4.5% and the Professional business that has declined 5.9%. And these 2 represents around about 30% of the overall group business, 25% less. And that, I think, explains the -- that explains why we say that this year is a contrasted year in terms of sales performance. Now if we look a bit more detail into the quarters, let's start with North America. We started the year great. We started the year with Q1 at 4.9% growth was great. Then we had 2 dips in Q2 and Q3 at, respectively, minus 11% and minus 14%, and the reassuring fact that Q4 ends at 4.7%. And if you remember, we said in Q2 and Q3 that we had -- we were suffering a clients' wait-and-see attitude and that we would see a normalization of the activity in Q4 that we have observed. Equally, on the Professional, we started the year with a very negative first quarter that was expected, minus 21%. That has recovered through Q2 and Q3 and leading to a flat Q4. We'll come back to that, in fact, right away. We've seen a stabilization of the business in the second half. And if you look at the details of that business in the second half of the year -- next slide, we have a contrasted situation. We have good momentum for machine deliveries in Germany and China, which are roughly 40% of the business and strong growth in services, which is great. We have double-digit growth in new regions like Eastern Europe and the Middle East. And that has been tempered by a wait-and-see attitude of customers in the United States in part due to, I would say, that tariff hike on Switzerland of 39% that stayed around between mid-July up until mid-October to end of October and in part to a caution in implementing CapEx in machines from large U.S. customers. On the other side, on the positive side on the Professional business, we've integrated La Brigade de Buyer in our culinary activity that is showing very, very strong growth driven by high-end stainless steel cookware and online sales. Beyond numbers, in the Professional business, we have started production in our Professional Coffee hub in China. I remind you, this is an R&D center. It's a processing, it's a production facility. We constructed it in 2025 through 2025, started serial production early in 2026. That's an investment of approximately EUR 40 million. And I'm very happy to share with you the first 2 machines that are coming out of this hub, beautiful machines. And you see that the number of cups per day, which is a way to qualify the type of customers the machine is aiming for is contained 50 cups per day, 80 cups per day. And that reflects our priority to focus these machines on the small businesses and the offices segment, which is a great new business opportunity for Professional Coffee machines that we want to exploit. And those machines are -- will be the spearhead for our development in that new segment of Professional Coffee. When we move to Consumer sales, we have through 2025, mixed performances and overall moderate sales growth. By geography, we are moderate growth in EMEA. I talked about it, 2.8% ex loyalty, excluding loyalty programs with maybe 2 -- again, here a contrasted situation. We have 11 markets with growth at or above 5%. We have an underperformance in Germany that we need to deal with. We've returned to annual growth in Asia and particularly in China. And in America, we have seen sales decline with a gradual normalization in North America through the end of the year. When we look at our product lines, we have great momentum in cookware, in kitchen utensils, in floor care and linen care. Those are all supported by strong product innovation. We see a slight decline in kitchen electrics. And last, on Consumer sales, we see our online sales up by around 10% organically, supported in particular by direct-to-consumer sales. Let's do our round-the-world exploration, starting with Western Europe. Western Europe posts 1.1% growth in 2025, 2% like-for-like, 2.8% if we exclude loyalty programs. Again, our sales are up in most -- in almost all Western European countries bar Germany. France is positive, excluding LPs. And the momentum, again, is still very positive in cookware. We see very successful innovations. I'll talk about that in a second. We have less buoyant categories, and I think that explains in part our difficulties in Germany, grills, multi-cookers. And overall, our market shares on the segments we operate on are stable. In the other EMEA countries, we have good organic sales growth, consistent organic sales growth around 10% in Eastern Europe. Turkey keeps growing, driven by our key categories and a very strong development of online sales. We've seen disturbances in Africa and the Middle East and very much related to the geopolitical environment. Now let's look back at 2025 and look at what happened on the product front. The first thing and the most important thing that happened in 2025 for us on the product side is the very, very strong and powerful expansion of washer vacuum cleaners. We've reached almost EUR 100 million of sales in year 1. We have #2 position just behind a Chinese competitor, way ahead of all our traditional British or American competitors. We've also expanded fast in the spot cleaners segment, great products, EUR 25 million sales in year 1 only, #2 in a market that we were not present in a year ago, a remarkable achievement. And back to our core categories, we've launched this year garment steamer with vacuum function, which is called Aerosteam that has delivered -- that has contributed to delivering EUR 90 million in sales in garment steamers in Europe only, double-digit growth, strengthening our #1 competition. So we see that our development in Western Europe and in Europe has been driven by strong innovation. Beyond that, we mentioned a couple of times through the year that we had some challenges on our historical core pillars, and Cookeo is one of them. Cookeo is a remarkable long-standing success story of the group, launched in 2012, sold over 5 million products. We relaunched it in Q4 with Cookeo Infinity. And what is tracking is that against a 20% decline first 9 months 2025, our sales in Q4 on the strength of this relaunch reached 10% growth, showing that -- and what is this product? It's an air fryer and pressure cooker combined equipment. Very, very strong popular success, very strong success with influencers, very strong talks on social networks. I think that also says -- shows us a way to evolve our marketing. We'll come back to that later on. I mentioned a couple of times that cookware is a very strong pillar of the group. We have a multi-material, multi-coating strategy. We are leaders in all those coatings and materials. And we've posted, again, I would say, in 2025 in EMEA, a growth of 10% in that category, a very strong pillar for the group. Going west to the Americas, we commented it amply vastly in the course of the year. So North America finishes the year at minus 4.5% like-for-like. You see the effect of currencies. I think it's around minus 9%, minus 10% in reported. I will not expand again on something that we've very, very often discussed. We have the direct and indirect effects of changes on U.S. tariffs that created a wait-and-see attitude with U.S. customers. We see through fourth quarter a better alignment between sell-in and sell-out, and that is the explanation of sell-out/sell-in recovery. We have consolidated our market shares in our core categories of cookware and linen care. And we see Mexico that still is a strong country but has a volatile year, yet to be noted, a very good acceleration of online sales in a country that was a bit backwards. Coming to South America. South America is skewed towards the fans business, which is very climate or weather dependent. La Nina is a cold weather phenomenon, and that has impacted our fan sales through Latin America, particularly in Brazil. Yet we see very strong performance in Colombia across all categories, including our fans business. And when I step back and look at our North American business, maybe something we don't often enough talk about, which is All-Clad. All-Clad is an American brand of premium cookware. And we celebrate again year after year very strong successes. It's local, it's premium, it's in the U.S. Sales have been growing around 10% per year over the past 5 years. We're leaders in the premium cookware in the business. We increased our U.S. local production, and we've increased it by more than 50% over the past 3 years, and we're now implementing complementary capacity investments in Canonsburg, Pennsylvania to expand again the capacity. So that shows that we have not only a mainstream business with Tefal market leader in the U.S., we also have the leading premium U.S. brand in cookware. Going south, again, Colombia is a good example of how we are expanding our business. We have double-digit organic growth in Colombia and have had so for the last couple of years based on very strong historical positions in fans and cookware to which we've added #1 position in food preparation and more recently, #1 position in the full automatic cool coffee machines. We are creating the market in Colombia and I would say, also in Mexico, and that is for us a good relay of growth in this part of the world. Going east now with an Asian business that has recovered growth, both in China and in the rest of Asia. Starting with that rest of Asia. The good news of the year is the return to growth in Japan and a good momentum in Southeast Asia. We have a slightly weaker performance in Korea. I think the environment in Korea is a very challenging one. Overall, we have success in cookware and the growth in SDA is more mixed between categories and markets. China has returned to organic growth in a broadly stable market in 2025. We are confirming month after month, quarter after quarter, year after year, our online and offline leadership in our 2 core categories of cookware and kitchen electrics. We've seen successful launches, rice cookers with stainless steel bows, titanium works, garment steamers with vacuum function. I think there's still a strong dynamic on innovation in our Chinese business. And we see some very strong dynamics of the online segment with an ever-moving online landscape. And if we go to the next slide, we see that something that we've talked about in the last 3 to 5 years, which is the expansion of social commerce with a very rapid growth in China. 25% of Supor's online sales are now in social commerce, and that's tripled since 2021. We're leaders in China in that segment, including on Douyin, Douyin, which is TikTok in China, both in kitchen electrics and in cookware. And we see developing instant retail, which is through platforms with very, very short direct delivery. Instant retail is a channel that grows very strongly in 2025, and we are already #1 in this new channel of sales -- new channel in this alternative way of doing online sales in China. As far as social commerce is concerned, we see a strong development outside China. We've opened in 2025 alone 13 TikTok shops in various countries in the world following or anticipating the development of this platform. I now hand it over to Olivier to share with us the financial results of the year.
Olivier Casanova: Thank you, Stanislas. So let's move to the main numbers. So as you can see, we achieved an ORfA of EUR 601 million for the full year, which is 25% below last year, but at the high end of the revised range, which we had indicated back in October of EUR 550 million to EUR 600 million. This translates into operational margin of 7.4%, which is, of course, disappointing 230 basis points below last year. If we look at Q4 now, as you can see, we delivered EUR 334 million of ORfA, which was, I would say, only 6.7% down versus 2024. You have to remember that 2024 was the highest ever. And so with this performance in '25, in fact, we are delivering the third highest ORfA for Q4, very close, in fact, to the performance of 2023. And this was in terms of operational margin, 13.3%, only 80 basis points below last year. Let's look at the bridge now. As you know, and we talked about this in earlier, let's say, presentations, we have a very complex year. So you will find the traditional ORfA bridge back in appendix, but we thought it would be more telling to identify and isolate the 3 cyclical headwinds that Stanislas talked about. So as you can see on the full year, we confirm what we have said before. We've had 3 distinct conjunctural impacts. The first one, of course, is North America, which has impacted us by EUR 40 million compared to the prior year. This is a combination of 2 effects. On the one hand, it's the fact that we increased prices to compensate the negative impact of tariff, but there was, of course, a time lag. The tariffs were implemented on beginning of April and the price increases happened at the end of the second quarter. And the second element, again, which Stanislas highlighted, we've had in Q2 and Q3, minus 12%, minus 14% in sales as customers adopted a wait-and-see attitude given the significant volatility and uncertainty regarding tariffs and in particular, changed also the way they imported the product from direct import to local sales. Secondly, on currencies, we had a negative impact of EUR 40 million, which is, again, 2 things. It's the delayed positive impact from U.S. dollar and CNY as we, let's say, went through our inventory. And we had only, in fact, a positive -- a small positive impact for the full year, and we'll talk about this in a second. The second element, of course, which is by far the biggest is the negative impact from emerging market -- you know that traditionally, we are compensating the depreciation by implementing price increases. We operate, of course, in a high inflation environment in many of these countries. And this year, because of the depreciation, in particular, of the U.S. dollar versus the euro, we were not able to compensate as much as we traditionally do, and this impacted us by EUR 40 million. And then the third element we already talked about is the fact that we had a very high basis of comparison in '24 with, in particular, very significant order in China. The last element is the -- what we call other effects, which is the growth volume -- price volume mix effect and the COGS effect on the rest of the business. We had positive volume effect, not as much as we would have liked and insufficient price/mix effect. And this is in large part why we are, of course, launching the Rebound plan. We'll talk about this in the rest of the presentation. Now what is interesting is to look at the Q4 performance on the same parameters because you can see that the 3 cyclical headwinds, in fact, turned around in Q4 as we had expected. So first, on North America, you can see that we were flat in terms of profit versus last year. Of course, we regained growth with 4.7% organic growth. The markets have been progressively normalizing. Again, we are not going back to the situation we had in the U.S. market at the beginning of '25. But nevertheless, we are seeing a progressive normalization. And secondly, of course, we have the full benefit now of the price increases, which are compensating the negative impact on tariff. The second element on currencies, we had finally the strong positive impact from the depreciation of the U.S. dollar and the CNY, as you know, which are 2 currencies where we are deeply short. And therefore, we have benefited from this positive impact in Q4. And then finally, on Professional, as we've explained, we returned to growth in the second half, and we are flat versus the prior in Q4. And so this translates into a stable performance versus last year. And we still had a slight negative impact on the rest of the business versus last year. Again, remember that Q4 2024 was the highest ever achieved by the group. But it's true that it's lower than our expectation in terms of volume effect and in terms of price mix. And this is why, again, we've launched the Rebound plan. Now how does this translate over, let's say, the fourth quarter? You can see that in H1, we were around 50% below the prior year. We have closed partly this gap in Q3 at minus 25%, and then we are very close to the prior year in Q4. If we now move to the rest of the P&L, you can see that this translates into -- the EUR 601 million translates into an operating profit of EUR 502 million. The main element, of course, is the line other operating income and expenses. Last year, of course, we had the significant impact from the fine from the Competition Authority, which cost us -- which was provisioned at the time for EUR 190 million. This year, we have a total charge of EUR 81 million, which includes EUR 24 million of provision and expenses related to the Rebound plan. We have, in particular, taken some impairment related to the decision on certain industrial sites. This translates into a net profit group share of EUR 245 million for the full year, which is, of course, slightly up on EUR 232 million last year. But as you know, the EUR 232 million included the fine from the Competition Authorities. If we move to the working capital requirement, as we had warned, we are on the high side compared to our traditional target of 15% to 17%. The -- let's say, relatively good news is that we are back to the same level as last year in terms of inventory. You remember that at the end of H1, we had an inventory, which was significantly higher than the prior year. So we have managed to bring this down to the same level as last year. It is still higher than where we would like to be, where it should be, in part because we are continuing to suffer from increased amount of stock on water because of the closure of the Red Sea of the Suez Canal. This is costing us around 0.6 percentage points of working capital. And we have also a slightly lower amount of payables, as you can see, at 13.2% versus 13.8% last year. Again, this reflects the slowdown of production in the second half to adjust the inventory level. So we are determined to bring our working capital requirements back to the range of 15% to 17% in 2026. And this will be done in part by optimizing our inventory level. We think that we have some way to go and therefore, are confident to go back to our range. If we move to the free cash flow statement, you can see that I've mentioned the working capital variation, of course. On CapEx, as expected, we are slightly on the high side also because we had, of course, the -- to finish the significant investment in our new Professional Coffee hub in China, in Shaoxing. We have also the completion of the Til-Chatel logistics platform in Europe for cookware. And so this explains that CapEx was slightly on the high side. And I don't comment on the other elements. This brings us to a free cash flow for the full year of EUR 124 million. And interestingly, we had a strong free cash flow generation in H2 at EUR 337 million this year. So let's now bridge to the net debt level. So in terms of dividend, as you know, we had EUR 150 million of dividend payment for the mother company, SEB SA. And in addition, we continue to repatriate a significant dividend from Supor. And this means that we had also EUR 50 million paid out to the minorities. In acquisitions, with, let's say, a relatively modest year in terms of acquisition spend, mostly attributable to the acquisition of La Brigade de Buyer and to a smaller extent to some investment in SEB Alliance. This brings us to a net debt level of EUR 2.152 billion, excluding the fine and EUR 2.342 billion, including the fine of EUR 190 million. In terms of financial structure, we have still a very strong financial structure. Of course, our financial leverage ratio has increased to 2.7x, 2.5x excluding the FCA fine. This is in large part due to also the decrease in the EBITDA. But we are determined to bring this level back to the comfort zone, which, as you know, is around 2 between, let's say, 1.8 and 2.2. And we are determined to do this starting quickly in 2026. We retain, of course, a very strong financial flexibility. We have continued to optimize our financing structure in 2025, including by refinancing with a new bond issue successfully placed in June, a bond issue, which was vastly oversubscribed. We, of course, continue to have no covenant in our financial debt and financial security, which is very high at EUR 2.5 billion and including EUR 1.5 billion of committed but undrawn backup facilities. That concludes the section on financials. Let's maybe move to the -- our ESG progress. Now as you can see on the next slide, we have made progress on our objective to reduce GHG greenhouse gas emissions. So we are down 23% versus the reference year of 2021. This compares to, let's say, minus 18% in 2024. So I think we are making good progress towards our target. This is due to various initiatives. Of course, the deployment of solar panels in China in 2025 and will continue in '26. The deployment also of an energy management tool, which has continued in '25 and various energy-efficient equipment, for example, on injection molding machines. We are making progress also on the health and safety front with lost time injury rate, which is down to 0.76 versus 0.81 in 2024. This is due in large part to the deployment of a training program across the group. Finally, on, let's say, our objective to reduce indirect greenhouse gas. As you can see, we are down minus 9% versus 2021. We have made several significant progress in 2025. On the recycled material, in particular, as you can see, we are now at a level of 52% of recycled materials in our product. This compares to 34% in -- only in 2021. And we've made particular progress on recycled aluminum, which is now at 51% versus 9% in 2021. We are also making progress on energy efficiency, in particular, both from, let's say, product design to usage by encouraging, of course, the deployment of eco mode in our products. And we are confident, of course, to reach our target of minus 25% by 2030. Finally, the progress were recognized by various rating agencies. We've seen notable improvement in our ratings in 2025 and early '26. I will just point 2 of them. On SUSTAINALYTICS, we have moved from medium risk to low risk. And on MSCI, we have moved from BBB to single A. So again, very good progress recognized by agencies. That concludes my presentation. Stan, I hand over to you for the Rebound plan.
Stanislas De Gramont: Thank you very much, Olivier. So the last section of this presentation, I would say, before the question-and-answer, of course, session is around the Rebound plan. And I would start with the start. The start is our mission, our mission and our ambition. Our midterm ambition is to grow our Consumer business, strengthening our global leadership and to become a reference player in the Professional business. This to serve a mission to make consumers' everyday lives easier and more enjoyable and contribute to better living all around the world. And that is what drives us in this plan. Now when we look at what makes us believe that and what makes the group very strong, the first one is we have very strong world-leading positions. We are -- we have 75% of our sales in markets where we have a leader positions, #1 or #2. Of course, we are #1 in Professional full automatic coffee machines. We're #1 in cookware. We're #1 in linen care. We're #1 in electrical cooking. We're #2 in blenders, and that is a very strong base to start from. We make over 80% of our sales on our top 5 brands, Tefal, Supor, Moulinex, Rowenta and WMF. When we go a bit further in details, we have a strong global presence. We are the most international brand or company in our industry. We serve every distribution channels. And of course, yes, we are overrepresented still in the offline business, but that's because we started very strong in the offline business. We have an extensive product offering covering several products -- many product families, which allows us to create and to have balance between those families that become very popular and those families that are more stable in some instances. And last but not least, we have a diversified industrial footprint, having factory -- having over 47 factories worldwide in Americas, in Europe and in Asia and a good balance between what we make, 61% of what we sell and what we source, 39% of what we sell. So we see the group as a very solid position, very balanced position. And that explains, I think, the successes of the last decades. At the same time, we see an acceleration in the transformation of our environment. We see acceleration of innovation, the launch cadence, the variety of product that becomes a key element of marketing. We've moved from product-centric to consumer experience-driven innovation. Communication has become social first. And that's a good transition to the second point. We see a fast transformation of the brand consumers relationship driven by social media, driven by influencers, user-generated content, influencers today are the #1 source of information for new products. Ratings and reviews have become paramount and real-time data management in the way we activate and we market our products becomes a must and a given. We see an acceleration of the shift in the go-to-market strategies and in the way and the places consumers buy products from. The speech of the last 5, 7 years was the development of e-commerce. Now the talk is the development of direct-to-consumers, brands selling directly to consumers, social commerce that is expanding very fast as we've seen. Omnichannel is now reaching a new maturity. And last, we see the rising importance of sustainability around repairability, around product lifespan and managing that lifespan, energy efficiency, refurbishment, second life. All these elements create an imperative of speed, and evolution of our marketing practices and the evolution of the resources we invest into marketing. And this Rebound plan, in fact, is designed to return to a profitable growth trajectory. And everyone is important. Reinventing our growth model first, we want to act as a leader in innovation. We want to systematize a new marketing and e-commerce practice around the globe, and we want to accelerate the development of our sales in the most promising segment, sorry. We will restore our profitability through this plan by simplifying our organizations and operating methods. We want to increase our purchasing and industrial efficiency in all fronts, and we want to reduce our overheads. And last, we will strengthen our stakeholders' engagement. We want to nourish and evolve the connection and the involvement of our consumers. We want to create more desirability. We want to develop meaningful innovations carried by inspiring brands. We do a lot of that already. I mean every day, 400 million consumers use our products. We've sold over 2 billion products in the last decades. But we think that we can update that element of our interaction and connection with consumers. And of course, we will only do that, thanks to the engagement and energy that our employees put in the transformation -- in this transformation day in, day out. Now concretely, what will that mean? That means faster launches and more impactful innovations. We use some KPIs just to illustrate that. We want to accelerate our time to market for innovations by 1/3, gain 30%. We want to have over 80% of our key innovations reaching 4.5 and above ratings. And that will be developing new categories, new usages that will be co-developing products with consumers and with influencers. And of course, that will be on the Consumer front, but also on the Professional front and hub in Shaoxing will be a centerpiece of that, too. I mentioned we need to evolve our digital marketing and e-commerce practice. There are -- there's a strong evolution of marketing and the way we interact with consumers with a strong skew towards social media and influencers. And we will indeed focus our efforts on social media, on influencers. We will accelerate the production of targeted contents through the use of artificial intelligence. We will guide our marketing investments much more through systematically using data, and we will increase the allocation of resources on the online sales, including direct to consumers. Now to give you some color, as we say, on those matters, that is material. We will triple our social media investments in the course of the next 2 or 3 years. We'll multiply by 3 or add 1 billion views of our influencer videos in the next 2 or 3 years, and we will increase our active consumer base in our CRM platform -- CRM platform, sorry, by -- we'll double it basically. There will be an efficiency dimension in this plan. We want to reduce complexity. We want to regain operational agility. There will be a strong focus on data, and we will generalize the use of artificial intelligence as and where, as an enabler, it can help the business run more automatically run faster. We will simplify our product ranges. We have some complexity in our product ranges. We will simplify our organizations and processes, and we will reduce materially our indirect purchases amount, massifying and harmonizing our needs between all parts of the business. And again, here are some KPIs to illustrate that. Our SKU ranges will decline by 25% to 30%, depending on the category. We'll have a 5% to 6% reduction in the addressed indirect purchasing envelope, making it a material area for savings. Now if we wrap up the financial part of this Rebound plan beyond the recover growth part, we expect EUR 200 million recurring savings by 2027 on this plan with 3 areas of cost savings, indirect purchases, industrial efficiency and overheads that will have a potential impact of up to 2,100 positions worldwide, of which 1,400 in Europe. And this will include potentially 500 positions in France that will all be made on a voluntary basis. We will accrue mainly in 2026, the cost of this plan and we will disburse mostly in 2027. As far as the one-time plan cost is concerned, we see it between 1 to 1.25x the recurring annual savings. Well, as a conclusion, I will start by a statement that is very, very traditional in the group. We know that the group's business is very much skewed towards the fourth quarter. In fact, last year's fourth quarter is over 50% of the profit -- of the annual profit. So usually, we don't give financial or quantitative guidance at the start of the year. We wait until July usually to do that. Now what we see and what we can say in 2026 as a guidance is that we want to return to growth in ORfA in 2026. This is clearly a clear priority. We want to go back to a more normative free cash flow generation. That's also something that is -- that we need to bring back into our usual trajectory. We will lower in 2026 our financial leverage with the objective, as Olivier said, of returning to the group standards of around 2 by 2027. That, of course, excludes acquisitions. But more importantly, and I think the analysis of 2026, the results of the fourth quarter and the deployment -- the fast deployment of the Rebound plan that we want to execute in under 2 years, confirm our ambition to go back to our midterm ambition. That is, to remind you, a target of 5% annual organic sales growth and operating margins of 10%, then progressing towards 11%. And I think that is what guides us. This is our beacon. And I think we are putting together the right actions and the right mobilization of our teams to deliver that. Thank you very much. We'll now hand over to you for your questions.
Operator: [Operator Instructions] Our first question is from Geoffrey d'Halluin from BNP Paribas.
Geoffrey d'Halluin: I will have 3 questions, please. First of all, happy to get your thoughts on what you've seen in the start to the year 2026, especially for the month of January and Feb, I'm aware it's a small quarter for you, but happy to get any thoughts on the current trading, please? Secondly, I guess you said the one-off cost linked to the Rebound plan is going to be about 1 to 1.25x. So that means about EUR 300 million to EUR 350 million. Could you spread this cost between the next coming years? Should we expect all of these costs to be booked in 2026? And actually, is it cash cost? And the third question is related to the Professional business. So we've seen an improvement in Q4, flattish growth. What are you seeing for 2026? Do you expect the unit to go back to the, I would say, medium-term algorithm -- growth algorithm you provided to the market before?
Stanislas De Gramont: I will take 1 and 3. Olivier, maybe you want to evacuate the second question.
Olivier Casanova: Okay. So let's deal with the second question. So as indicated, we will take, I think, most of the provision in 2026, probably, in fact, in the first half because by that time, we will have, I think, enough, let's say, parameters to evaluate and be able to take a provision. We have, as I mentioned, taken EUR 24 million in '25 already, and part of that was noncash. I would say 90% of the charge will be a cash charge and only around 10% will be noncash.
Stanislas De Gramont: Olivier, I'll take the next 2 questions. Starting with maybe the Q1 current trading. It's very early to say. I mean, we have a Chinese New Year that is moving 2 weeks backwards forward 1 year to the other. So January, February are very unstable. We don't see an extraordinary Q1. We don't see a bad Q1. I think we are in a trajectory where we are building a business with a clear discipline and focus on recovering profitability and Q1, hopefully, will reflect that. The Professional question is a fair question. I think Professional is a very healthy business potentially. We have some areas of great stability and sustained growth. I mean, Germany, Eastern Europe, Middle East, Asia. We have more instability in China, as you know, linked to the fluctuations of the large contracts. And we have this U.S. situation, which in a way delays or hampers the conversion of great projects into contracts. So we don't give guidance at this stage to Professional through 2026. Now if you step back, I think the drivers of our Professional business are 2 or 3 large contracts. And today, we have no signs of up or down versus historical. So it's pretty constant. We have geographical expansion, which is year after year confirming as a good growth driver. And we have something new this year, which is the development of these new machines into new market segments, small businesses, offices. I think we're coming in the market. We are the first European company to come on the market with such a range of competitive machines, cost competitive, very profitable machines in that area. And I think that will weigh materially on the development of the Professional Coffee business this year. I hope that answers your questions, Geoffrey.
Operator: We now move to our next question from Christophe Chaput from ODDO BHF.
Stanislas De Gramont: [Foreign Language]
Christophe Chaput: Just one question remaining for me. I just would like to come back on currency impact. So as you say, you started to benefit in Q4 from the positive impact on U.S. dollar and Chinese yuan depreciation on your ORfA, I mean. Could you remind me how much it impacted the Q4? I'm not sure you give the figure. And assuming those currencies stay at the same level than the actual one, what could be the positive impact for the full year 2026 because it's quite meaningful, if I may?
Olivier Casanova: Okay. I'm afraid I'm going to disappoint you, and I won't give you very precise numbers. But I think what we can say is that we had a net positive impact, which is a mix of positive impact from CNY and U.S. dollar, but still negative impact on other currencies. I think it's quite, let's say, normal. And in 2026, we expect, again, overall for the full year, a positive impact again from U.S. dollar and CNY, but still negative impact on other emerging market currencies. We expect further depreciation in the Turkish lira, Egyptian pound, Mexican peso, et cetera. So there will be some negative impact from currencies. But overall, I think what we can say is that we are expecting a total, let's say, impact of currencies on ORfA, which would be still negative, but much less than in prior year because of the positive impact, net positive impact from U.S. dollar and CNY. I hope that answers your question.
Christophe Chaput: Just to be sure, ORfA 2026 negative related to currency?
Olivier Casanova: Well, just to be sure, in 2025, the negative impact was EUR 80 million in '25. What we're saying is that the negative impact will be much smaller in '26, much smaller than minus EUR 80 million.
Christophe Chaput: Okay. Understood. And on the top line, you say more or less the same level than in '25, which means minus EUR 200 million.
Olivier Casanova: Yes.
Operator: Our next question is from Alessandro Cecchini from Equita.
Alessandro Cecchini: Can you hear me?
Stanislas De Gramont: Yes.
Alessandro Cecchini: The first one, actually, it's on your cost base, I would say, excluding, of course, the Rebound plan. So just to have a sense on 2026 about the various moving parts on input costs, on raw material transportation. So just to have your idea which kind of year you see in 2026 in terms of input costs, of course, excluding the -- I mean, the Rebound plan. My second question is instead about the U.S. market. You explained very well that -- I mean, we had minus EUR 40 million of negative impact in 2025 in terms of bridge. So just to have a sense, do you expect to have a positive now in 2026? And I mean, what kind of share you expect to recover in the U.S. given the several statements that you said before?
Stanislas De Gramont: Okay. I will start with the second one, Olivier will take the first one. On the U.S. market, we have -- as we were disappointed by Q2 and Q3. You remember, we have a much better than -- a big improvement in Q4 versus Q2 and Q3. And I think that reflects the strength of our brands in the U.S. that reflects the strength of our market positions. Remember, the U.S. market is 3 pillars for us in the Consumer business. I'm not talking Professional, I'm talking Consumers. And I guess your question refers to Consumers. It's based on Tefal cookware. It's based on All-Clad cookware and kitchenware, and it's based on Rowenta linen care. And those 3 have leadership positions. And what Q4 shows in a market -- in a consumption market that is not very dynamic in the United States, the strength of our brands and of our positions. And in fact, when we look at the current trading in the U.S., it is positive in dollars despite price increases, despite all the uncertainties on consumption. And I think that reflects the strength of our Consumer brands and of our Consumer business in the U.S. So in a way, we do expect to recover a material part of what we lost last year in sales and profit in the United States. That said, the current level of uncertainties on demand, and I'm sure you read the same papers and documents as we read on U.S. consumer sentiment without even mentioning the announcements of U.S. President last weekend on tariffs. I think there's an area of uncertainty around the U.S. business that may alter that expectation to recover a material part of what we lost last year through 2027. But I think the key point for us in the U.S. is the strength of our brands -- is the strength of our brand positions because where we -- we are not everywhere, of course, we know that. But where we are, we are very strong and we have very strong positions. Olivier?
Olivier Casanova: Okay. On input cost, I think we don't expect a very significant impact either way. There are some pluses and minuses, but it shouldn't be a major driver of profitability in 2026. We can expect maybe some slightly higher cost on some metals. For example, you've seen the strong price increase at the beginning of the year. Of course, it is -- the impact is very significantly moderated because of our hedging policy, which is, as you know, hedging over a long period. But still, there could be some slight increase. On the other side, we have maybe some positives on the shipping cost. So overall, it should not be a major driver. What is going to drive our profitability this year is much more the initiatives that we're taking on the industrial side to improve our efficiency and our productivity and also all the initiatives around redesign to cost, where we are looking to improve, let's say, the bill of material and the cost of some of our major products.
Alessandro Cecchini: Okay. So very clear. My last point was instead on the Professional business. So it's a business with opportunities you have already highlighted correctly, my view. So just to have in mind, so if we expect, I mean, a trend more or less flattish or slightly up in 2026. So if we take the fourth quarter as a reference, you think that to recover the ORfA lost maybe could be more in the 2027. So just to have an idea which is your perception on the profitability and business dynamics for the Professional business.
Stanislas De Gramont: I understand where you want to get to, Alessandro. It's early to say. We've seen a stabilization of the business. We have some good plans. We need to see how those plans materialize. We need to see how the U.S. business is evolving because it's a key element of -- it's a key part of our Professional business. So allow me to take a few weeks before we can give you a flavor and the direction for this Professional business. It's not that I don't want to. But today, we don't have qualified-enough elements to give you that flavor you're looking for. I'm sorry.
Operator: We will now move to our next question from Natasha Brilliant from UBS.
Natasha Brilliant: I've got a few or 3 questions. First one is just on the Professional Coffee hub in China. How does the pricing and the profitability of these machines compared to the existing Professional business? My second question is on the Rebound plan. So if growth trends change materially, either better or worse, could you increase the cost savings above EUR 200 million or even reduce them if you don't feel that you need it? Or is that EUR 200 million pretty much the level that's set now through to 2027? And then my last question is just on the midterm targets. So if I look at consensus out to even 2030, I think margins are below 10%, closer to 9%, organic growth also just below 5%. So my question is really when do you think the midterm targets might be achievable?
Stanislas De Gramont: I'll let the first one to Olivier. On the flexibility of the Rebound plan, I think the Rebound plan is characterized by a large spread of projects. So we are not depending on 1 initiative or 2 initiatives. We have several initiatives in the support functions, in marketing functions, in development. And I think that gives us -- that lowers the risk of execution of one single part of the plan that could not materialize. I think that's some reassurance. I don't see very much upwards or downwards risks in terms of the execution. You may have some slippage of 3 months, 6 months just because of the voluntary dimension on most of the social measures. But it's pretty much where I think where we see it. Our midterm targets, I think the -- we are focused on recovering our level of profitability. That will be our priority in the next couple of years. I think growth will come back with -- it's on base. We have, as I said, a good base. I mean, we say no growth in 2025, yet China or Asia and Europe, EMEA grew by 2.7%. It's not 5%, it's not 0. So I think we -- this will be, I think, what fluctuates the achievement of the midterm target. But certainly, it is before 2028 that we want to reach that 10% at or before 2028. Why do I say that? Because midterm today is 2 to 3 years, it's not 10 years. So read our midterm guidance as 2 to 3 years, not 5.
Olivier Casanova: Okay. On the first question, so as we mentioned, the machines that we've presented the elevation and peak, in fact, are addressing a customer base where we are not so present today, which is small offices, medium-sized businesses. And those are naturally positioned in terms of price points much lower than, let's say, the high-end machines, which are designed for customers that need, let's say, 350 cups per day. So here, we are looking at machines which are positioned below EUR 2,000, below EUR 1,000. But we are, of course, designing those machines, and this is also why they are let's say, produced and assembled in China. We are designing them and we are producing them in the most competitive way in order to achieve a similar, let's say, target gross margin as we do on the high-end machines. So that's our objective. It's the same strategy, by the way, that we have on the Consumer side. We have to design those machines in a way to deliver the target constant gross margin.
Operator: [Operator Instructions] Our next question is from Alessandro Cuglietta from Kepler Cheuvreux.
Alessandro Cuglietta: I hope you can hear me well. Just a quick one on the Rebound plan. How much of the benefit from the EUR 200 million savings do you expect to have in 2026? Is it like maybe 25% of the total? And how much of the total savings do you expect to reinvest because you mentioned more investments in marketing, innovation? So wondering if there's reinvestments out of those EUR 200 million.
Stanislas De Gramont: Olivier?
Olivier Casanova: Okay. So we don't -- I mean, we're just launching the plan and -- we have to go, of course, through discussions with the unions and the employee representative, et cetera. So I think it's too early to be very precise on the timing of the execution, and this will impact, of course, the amount of benefit that we have in 2026. Overall, it's going to be, I'd say, a small portion compared to the total. Most of the benefits, of course, will come in 2027 and probably a small carryover in 2028. We -- your second question on the reinvestment. In fact, we don't really look at it this way. Of course, we're looking to invest more. We said that it's an important element. It's redirecting our investment and also investing overall more to support our innovation and amplify, let's say, the impact of our innovation. But of course, those investments, they have to have a return above 1. So we are not looking to precisely reinvest the savings that we want to generate. Those are, let's say, 2 separate things.
Stanislas De Gramont: And I would say, I mean, let's also speak clearly, we also want to improve our profitability. So I think there's a clear focus of the management of the leadership teams to improve profitability. And we are creating a plan that will structurally improve our ability to deliver growth. That will imply some investments, some increased investments in marketing, but we want to improve substantially the profitability of the company.
Operator: So there are currently no further questions over the phone. With this, I hand over for any webcast questions.
Stanislas De Gramont: Should I read them? How do we do it? Let me read the first one. Given global market shifts, what our group sales top strategic priorities for 2026, 2030 in both consumer and institutional channels, especially in high-growth markets such as China?
Olivier Casanova: But I think it should be China rather than India.
Stanislas De Gramont: I think the group has a widespread coverage of product families, product categories and geographies. Today, our Indian business is very small. I mean, we are almost inexistent in India. The way we look at it today is we see that our existing markets have a very strong and important potential for development. We see that innovation day in, day out drives extra consumption and extra value in every market, including India. We see India as a further opportunity down the road. It's not in the next 3 to 5 years road map of the group to develop in India. We see the development in the next 2 to 3 years, very much focused on the geographies we are in, developing, reinventing or evolving our relationship with consumers through the evolution of our marketing practices, accelerating our pace of innovation on existing or adjacent categories where we are in. We will have some geographical development in countries where we have some understanding of how we perform in neighboring countries. We think India is another dimension, and we don't have any plans to develop our business in India in the next 3 to 5 years. That is in the current setup of organic developments. Now the acquisitions will, of course, study them.
Olivier Casanova: So the next question, maybe I can ask you, Stan. From your perspective, how important will e-commerce become for our Professional segment in the coming years, both in terms of direct digital sales and supporting customers with digital self-service?
Stanislas De Gramont: It's a great question. Thank you very much. The first thing is there is a very strong connection already between our Professional customers and our Professional business on telemetry for machines management. We have our own programs. We have distance service programs. I think 1/5 or 1/4 of our servicing of machines in Germany is done online. So there is a very strong online connection already between our customers and our Professional Coffee business. That said, we see that the Professional distribution business in the U.S. is expanding rapidly D2C. The direct-to-consumer distribution is expanding rapidly in all Professional segments. We also see that the more we will move towards smaller customers, customers for 1, 2, 5, 10 machines, the more D2C service or serving of these customers will be relevant for buying, for servicing, for spare parts for all these dimensions of the activity. The good news is that we have a very substantial chunk of our machines, which are connected or connectable to our own platforms or to customers' platforms. We are very advanced in this industry in our ability to connect machines to customer systems or to our own systems. So we have the infrastructure by design that allows us to be digital or D2C ready in those dimensions. I'm reading the screen. I see that we have another question on the phone, please.
Operator: Yes. So we have a follow-up question from Alessandro Cuglietta from Kepler Cheuvreux.
Alessandro Cuglietta: It's me again. A quick question because if you look at the plan and the margin targets, I mean, we assume that to get back to your 10% EBIT margin, we need sales growth. And so I'm wondering how do you look at sales growth, I mean, at the market level in your Consumer business? Do you expect low single-digit growth over the next 2 to 3 years? And a follow-up to that, do you expect to gain market share? Is that part of the strategy as well?
Stanislas De Gramont: Of course, I understand the question where it's coming from. I think -- I mean, when you look at the equation, 2028, below 10% profit will be disappointing for all of us. I think that starts from there. We are in an unstable environment. We have an unstable 2026. So it's early to give a guidance for 2026 sales growth. I think what you can think -- you can think of our business as our priority will be to restore the conditions for having sustained and sustainable sales growth. Our financial priority is to go back to our financial trajectory -- traditional financial trajectory, which I remind you is towards 10% operating profit growth is towards normative free cash flow generation, is reaching a leverage around 2. So I think that gives you enough indications. And what we try to do is to [ desensibilize ], if you want, the achievement of those financial targets from the organic sales growth ambition. That said, we remain convinced that the model of value creation of the group is based on profitable sales growth. That is the surest and more consistent way to deliver cash flows and to deliver return to shareholders.
Operator: There are currently no further questions.
Stanislas De Gramont: All right. I see no more questions. I would like to make a couple of closing words. 2025 has been a rather difficult year. We are creating the conditions to see 2025 as an inflection point for the group. We've heard and we are determined to restore the trajectory of the group, which is a profitable growth trajectory with a strong financial discipline with recovery of profitability, but at the same time, with creating the conditions for a Rebound plan to create a group that will again be able to deliver this 5% organic sales growth consistently and profitably. I would like to have the final, final word as a thank you for the analysts and the investors that follow us. And we will speak again in the publication of the first quarter results. Thank you very much.